Operator: Good day, and welcome to the American Shared Hospital Services First Quarter 2025 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Kirin Smith with PCG Advisory. Please go ahead.
Kirin Smith: Thank you, Wyatt, and thank you, everyone, for joining us today. AMS' first quarter 2025 earnings press release was issued today before the market opened. If you need a copy, it can be accessed on the Company's website at www.ashs.com at Press Releases under the Investors tab. Before turning the call over to management, I would like to make the following remarks concerning forward-looking statements. Please note that various remarks that may be made on this conference call about future expectations, plans and prospects for the Company constitute forward-looking statements for the purposes of safe harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may vary materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Company's filings with the SEC. This includes the Company's annual report on Form 10-K for the year ended December 31, 2024. The Company assumes no obligation to update the information contained in this conference call. Before I turn the call over to Ray, I'd like to remind everyone about our Q&A policy, where we provide each participant the time to ask one question and one follow-up. As always, we'll be happy to take additional questions offline at any time. With that, I'd now like to turn the call over to Ray Stachowiak, Executive Chairman. Ray, please go ahead.
Raymond Stachowiak: Thank you, Kirin, and good afternoon, everyone. Thanks for joining us today for our first quarter 2025 earnings conference call. I'll begin with some opening remarks then turn the call over to Gary, our CEO for additional detail; followed by Scott Frech, our CFO, for a financial review of our first quarter results. Following our prepared remarks, we'll open the call for questions. We are pleased with our first quarter 2025 revenue growth, which was driven by the expansion of our Direct Patient Services segment and additional international business development initiatives. While we did see treatment volumes decline this past quarter, we are clearly beginning to see the benefits from our transition from a cancer treatment equipment leasing focus to a more patient-centric service model. And I'm pleased to report that we are seeing treatment volumes pick back up and look forward to a stronger back half of 2025. For the past quarter, we saw double-digit revenue growth, which increased 17% year-over-year. This growth was driven by the continued benefit from the Rhode Island acquisition that we closed last year as well as from the opening of our new radiation therapy treatment facility in Puebla, Mexico. As we focus on revenue growth, we also remain focused on profitability. Our first quarter 2025 adjusted EBITDA came in at $949,000 compared to $1.75 million in first quarter 2024, due to lower procedure volume [Technical Difficulty]. We continue to have strong cost controls in place with very fixed costs, and we are [indiscernible] treatment volumes and number of patients served to drive our topline growth. It's very important for investors to recognize that on a short-term and quarter-to-quarter basis, there will be fluctuations due to the specific nature of our growing business, but over the long-term, we are primed for strong profitable growth. I urge investors to focus on the long-term overall growth opportunity as we execute on our strategic initiatives and our upcoming milestones. We believe this is an opportune time for investors to follow our company closely. We do believe we are primed for long-term outperformance as we execute on our growth strategy and work towards building significant shareholder value. Before I hand the call over to Gary, I would also like to highlight our strong balance sheet, robust business development pipeline and exciting strategic growth opportunities that drive our enthusiasm and confidence in the long-term trajectory of our company. With that, I'll hand the call over to Gary Delanois, our CEO, for additional details. Gary?
Gary Delanois: Thank you, Ray, and good afternoon, everyone. My confidence and enthusiasm for our business continues to grow, and I'm excited to lead the company into our next phase of growth with our strong management team. We continue to reap the benefits from our acquisition of the three Rhode Island cancer treatment centers and our newer one in Puebla, Mexico. While it will not be straight up, we do expect the quarterly fluctuations in treatment volumes, I am enthused by the growth we are seeing in the overall business and even more so with our business development initiatives we have in motion. At the Rhode Island centers, our upgraded CT simulators used in the patient treatment planning and software enhancements for improved efficiency and patient care are in place, and we are well positioned to show positive results for the long-term. Additionally, I am pleased with staffing strategies that we put in place and although we are not fully optimized yet, we have set the stage for increasing volumes and utilization to fuel future top and bottom line growth. I am confident that once we are fully staffed at each of our Rhode Island centers, we will see steady growth in treatment volumes and increased physician engagement with the healthcare community. Furthermore, with our linear accelerators on service and maintenance agreements, this adds to their dependability and higher uptime for better patient service. The team continues to focus on strengthening our radiation therapy equipment leasing segment by working with our health system customers to create greater community awareness among referring physicians to drive increased utilization of their Gamma Knife systems, the gold standard for stereotactic radiosurgery. Our International business segment continues to represent a large growth opportunity, where we are expecting continued momentum. As a reminder, we have the only Gamma Knife centers in the countries of Peru and Ecuador and with our third international center in Puebla, Mexico, we are treating cancer patients for a full range of cancer diagnosis with the most advanced radiation therapy treatment capabilities available in our catchment area. As you recall, last year, we established our fourth international center with the signing of a joint venture agreement for a Gamma Knife center in Guadalajara, Mexico, and we expect it to start treating patients and generating revenue towards the end of this year. This will be the only Esprit Gamma Knife in a country of 130 million people, which clearly represents an enormous benefit to the patients in Mexico and an untapped growth engine for us. As we look forward into the coming months and years ahead, we expect stronger international growth from additional treatment growth in Ecuador, strong volume from our newly upgraded center in Peru and our two new centers in Guadalajara and Puebla. As Ray mentioned earlier, we continue to expand our business footprint in Rhode Island. The acquisition of a 60% majority interest in the three radiation therapy treatment centers in Rhode Island were our first direct patient services cancer treatment centers in the U.S. This new business segment clearly reflects the power of our growth strategy and further demonstrates our ability to partner with health systems, Care New England and Prospect CharterCARE, the second and third largest health systems in Rhode Island. The second is the Certificate of Need, or CON that we have been granted to build and operate a fourth radiation therapy center in Bristol, Rhode Island. And the third is a CON that we officially obtained this past December to build and operate the first proton beam radiation therapy center in the State of Rhode Island, which represents another major growth opportunity. We also have tuck-in acquisitions that we are working on and anticipate closing one by the end of this year. We look forward to announcing additional progress on these opportunities as they progress. Treatment volumes in cancer care can tend to ebb and flow from time to time, due to changes in diagnosis mix, patient staging and referring physician consults and can result in lower treatment volumes that we experienced in the first quarter. For the month of April, we have seen significant increases in treatment volumes for Gamma Knife, proton beam radiation therapy and at the three Rhode Island radiation therapy centers. Before I hand the call over to Scott, I'd like to reiterate our strong confidence in our overall business. Keep in mind that there will be quarterly fluctuations from time to time as with most growth stage companies, but I feel very positive about the strategies we put in place for our long-term prospects, and I'm very excited and honored to work collaboratively with our strong management team to lead the company forward for continued revenue and profitability growth. And with that, I'll turn the call over to Scott Frech, our CFO, for a financial review.
Scott Frech: Thank you, Gary, and good afternoon. For the first quarter ended March 31, 2025, total revenue increased 17% to $6.1 million compared to $5.2 million in Q1 of 2024. Revenue from our Direct Patient Services segment was $3.1 million for Q1 2025 compared to $963,000 in Q1 2024, marking an increase of 224%. This significant growth was primarily driven by the acquisition of the Rhode Island radiation therapy operations and launch of operations in Puebla, Mexico, in the second half of 2024. Revenue from the Equipment Leasing segment decreased to $3 million from $4.3 million in Q1 2024. Gamma Knife revenue declined 18% to $2.1 million for Q1 2025 compared to $2.6 million in Q1 2024. The number of Gamma Knife procedures in Q1 2025 was 208, a 24% decrease from the 273 procedures in 2024. The decline was primarily due to the expiration of two contracts in December 2024 and February 2025 and downtime to upgrade a third customer to new Elekta Esprit. Revenue from proton beam radiation therapy decreased 38% to $1.6 million in Q1 2025 compared to $2.7 million in Q1 2024. Total proton therapy fractions for Q1 2025 were 831, a 35% decrease from the 1,276 fractions in Q1 2024. This decline was primarily due to lower volumes. Revenue from linear accelerator or LINAC Systems was $2.4 million for Q1 2025 compared to zero in Q1 of 2024 due to the acquisition of the Rhode Island radiation therapy operations and the launch of operations in Puebla, Mexico. Our gross margin for Q1 2025 was $942,000 compared to $2.1 million in Q1 2024. The decline in gross margin and percentage reflects increased operational expenses, higher staffing costs and investment in technology infrastructure to support growth initiatives as well as lower Gamma Knife treatment volumes and strong growth in our Retail Patient Services segment, which has a lower gross margin percentage. Q1 2025 operating income was a loss of $1.3 million compared to a loss of $85,000 in Q1 2024. Net loss attributable to American Shared Hospital Services for Q1 2025 was $625,000 or $0.10 per diluted share compared to net income of $119,000 or $0.02 per diluted share for Q1 2024. Adjusted EBITDA, our non-GAAP financial measure was $949,000 for Q1 2025 compared to $1.75 million in Q1 2024. We ended Q1 2025 with strong financial position supported by our solid balance sheet. As of March 31, 2025, cash and cash equivalents, including restricted cash, stood at $11.5 million compared to $11.3 million at December 31, 2024. Shareholders' equity, excluding non-controlling interest, was $24.7 million or $3.82 per outstanding share compared to $25.2 million or $3.92 per outstanding share at December 31, 2024. Fully diluted weighted average common shares outstanding for 6,572,000 for Q1 2025 and 6,576,000 for Q1 2024. This concludes the formal part of our presentation. Thank you, again for joining us today. We look forward to updating you on our progress in the quarters ahead. I'd like to now turn the call back to the operator and then open it up for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question will come from M Marin with Zacks. Please go ahead.
Marla Marin: Thank you. So in reading through the press release and thinking about the impact of a lower number of procedures performed, there's been a lot of talk lately in the news about potential changes to some of the regulations around reimbursement. Does the company believe that there could be an impact based on some of the discussions that we're hearing about right now?
Raymond Stachowiak: Yes, M, thanks for that question. I appreciate it. The changes that are kind of going around in Washington and all are changes to the Medicaid program in particular. And we're not – we don't feel we're prone to much risk in terms of reimbursements, the rates at which were reimbursed. But there could be a decrease in respect to Medicaid with the number of people that are covered by the program. And fortunately, we do not have large revenue streams that come from Medicaid. Most of our revenue is coming from private insurers and the Medicare program and significantly less exposure to the number of patients covered under Medicaid. So we don't feel that there is some degree of risk, but we don't believe that risk is very high.
Marla Marin: Okay. And then I got one follow-up question, I believe. As you look towards your pipeline of growth initiatives and opening up the new center in Rhode Island is one of the projects that I think you're in the process of moving forward, will you have a little bit more flexibility in terms of managing the fixed cost absorption once there's another center opened in Rhode Island?
Raymond Stachowiak: Yes, we have a very fixed cost business model. And when we have the direct patient services segment that we're expanding into and growing rather significantly, we have much more degree of influence and control over the activities and the relationships and all the things that can make our patients serve – the patients that we serve grow in number.
Marla Marin: Okay. Thank you.
Operator: [Operator Instructions] With no further questions, this will conclude our question-and-answer session. I would like to turn the conference back over to Ray Stachowiak, Executive Chairman, for any closing remarks.
Raymond Stachowiak: Thank you, Wyatt, and thank you all for joining us today. We are at a key point in time for our company as we execute on our growth strategy while navigating through some short-term fluctuations. We are optimized well and focused on building strong momentum as our growth strategy takes hold. The Rhode Island acquisition was just the first stepping stone and marked a significant milestone for our company. Internationally, our expansion into Mexico further strengthens our position as a leader in specialized radiation therapy services. We have strong upcoming potential value approaching as detailed earlier. Our Certificate of Need, or CON approval in Rhode Island for a fourth radiation therapy center, and our CON to develop and operate the first proton beam radiation therapy facility in Rhode Island represent major long-term opportunities for further expand. Additionally, the tuck-in acquisitions we are working on will also help bolster our growth opportunity further. We are confident in our strategy and our team's ability to execute. We look forward to updating you on our continued progress as we drive sustainable growth, profitability and long-term success. If you have any questions, don't hesitate to reach out, we welcome the conversation. Thanks, again for your interest in American Shared Hospital Services. Have a great rest of your day and the rest of the week. Goodbye.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.